Operator: Welcome to the Geospace Technologies Fourth Quarter 2018 Earnings Conference Call. Hosting the call today from Geospace are Mr. Rick Wheeler, President and Chief Executive Officer. He's joined by Tom McEntire, the company's Vice President and Chief Financial Officer. Today's call is being recorded and will be available on the Geospace Technologies' Investor Relations website following the call. [Operator Instructions]. It is now my pleasure to turn the floor over to Mr. Rick Wheeler. Please, sir, you may begin.
Walter Wheeler: Thanks, David. Good morning, and welcome to Geospace Technologies' conference call for the fourth quarter and 2018 fiscal year-end. As mentioned, I'm Rick Wheeler, the company's President and Chief Executive Officer, and I'm joined by Tom McEntire, the company's Vice President and Chief Financial Officer. We'll start the call with my overview of the fourth quarter and fiscal year-end. And following this, Tom will provide in-depth commentary of our financial performance. I'll then offer a few final remarks, after which the line will be opened for questions. Some of today's statements may be considered forward looking as defined in the Private Securities Litigation Reform Act of 1995. This includes comments about product markets, revenue recognition, planned operations and capital expenditures. All such statements are based on our present knowledge and perception, while actual outcomes are influenced by uncertainties and other factors we're unable to predict or control. Both known and unknown risks can lead to undesirable results or cause our performance to differ from what we say or imply. These risks and uncertainties include those discussed in our SEC forms 10-K and 10-Q filings. As a matter of convenience, we will link a recording of this call on the Investor Relations page of our geospace.com website. However, the information discussed this morning is time-sensitive and may not be accurate on the day one listens to the replay. Yesterday, after the market closed, we released our financial results for the 2018 fiscal fourth quarter and year-end, which ended September 30, 2018. For the fourth quarter, total reported revenue was $20.6 million, a decrease of 13% from last year's fourth quarter. In considering the lower revenue figure, last year's fourth quarter included the sale of 15,000 stations of 3 component GSX recorders, geophone sensors and batteries and related equipment from our land seismic rental fleet. Whereas in this year's fourth quarter, 5,000 stations of such equipment were sold. Despite the quarterly reduction in revenue, the fourth quarter was the third consecutive quarter of positive gross profit, which reached $5.3 million, its largest level in 4 years. Also included in the fourth quarter was a reversal of $2.3 million in bad debt charges associated with the bankruptcy of a large customer, which had been previously reported in the third quarter. Because the bankruptcy petition was filed in late June of 2018, it was unclear when reported in our third quarter results how much, if any, of the customers' unpaid receivables were in jeopardy. As the bankruptcy progressed through the courts, large amounts of the debt ended up being paid, leading to this quarter's reversal of bad debt charges. We ended fiscal year 2018 with revenue of $75.7 million, representing increases of 3% and 22%, respectively, over revenues reported in fiscal years 2017 and 2016. Even though we experienced increases in our operating expenses associated with our acquisition in late July 2018 of Quantum, reductions in other operating expenses were instrumental in narrowing the company's net loss in fiscal year 2018 to $19.2 million or $1.45 per share, which is a notable improvement over the previous 3 fiscal years. As mentioned in our earnings release, we revised our financial reporting segments in order to provide better clarity to our investors. Our new oil and gas market segment is really a name change of the previously titled seismic segment. And our new adjacent market segment renames the previously titled nonseismic segment. In addition to these name changes, we have added the emerging market segment, which captures information related to Quantum seismic businesses in the border and perimeter security markets. In the oil and gas market segment, our traditional seismic products generated total revenue of $12.9 million in fiscal year 2018, which is a reduction of 15% from the previous year. The lower revenue is largely attributable to the reduced demand for these products throughout the year as a result of less seismic exploration for new oil and gas reserves. In both land and marine environments, demand for these products over recent years has declined or remained relatively flat as a direct consequence of fewer exploration programs. However, we expect demand to strengthen for these products to whatever extent seismic exploration activities increase. Wireless seismic products in this segment generated $27.3 million in revenue for the full fiscal year compared to $29.7 million last year. The primary reason for the 8% reduction in revenue was the sale in the previous year of an OBX topside system and larger quantities of wireless channels from our rental fleet, which did not recur in fiscal year 2018. However, this was partially offset by higher rental revenue from our marine OBX and land GSX rental fleets. As noted in our August 30 news release, we expect 2 contracts for our OBX products to generate in excess of $20 million in revenues, and we are working with various customers on still more opportunities where OBX equipment may be deployed. Reservoir products generated $4.8 million in segment revenue for the first -- for the fiscal year ended September 30, 2018, compared with $2.7 million the year before. The increase of 82% is the result of stronger sales and rental demand for our borehole seismic products and services used in the characterization of oil and gas reserves. In prior years, contracts for the manufacture and installation of permanent reservoir monitoring, or PRM systems, have been the primary generators of revenue for this segment. However, there were no such contracts awarded to Geospace during fiscal year 2018. In related news, as announced earlier this week, we acquired the OptoSeis fiber optic technology and related business from PGS Americas. Geospace is well known as the leading and most prevalent provider of PRM systems in the world, and the OptoSeis technology represents a strategic addition and broadening of our PRM product offering. The OptoSeis technology not only greatly enhances our future opportunities for PRM contracts going forward, but it also shows promise in other areas such as land seismic operations require large channel count cable systems as well as use for border and perimeter security in our emerging market segment. In our adjacent market segment, revenue for the fiscal year totaled $29.9 million, which represents an increase of 15% over last year. Moreover, fiscal year 2018 stands out as the fourth consecutive year of increases for this business segment, culminating in a new record for its reported revenue. The drivers of these steady increases are the continued market acceptance and growing demand for our smart water meter related products and broader utilization of our factory through contract manufacturing services. We anticipate that organic growth in this segment will continue as industry demand for its existing and new products and services expands. In our new emerging market segment, which currently represents the business activities of Quantum, $0.3 million of revenue was generated in the fourth quarter, it's first and only reported period of the fiscal year. Integration and advancement of the technologies associated with our acquisition of Quantum are well underway. We believe that the engineering and technical expertise of our combined companies will result in highly rugged and reliable innovations, uniquely suited for the border and perimeter security markets. At this point, I'll turn the call over to Tom to give more financial detail.
Thomas McEntire: Thanks, Rick, and good morning, everyone. Before I begin, I'd like to remind everyone that we will not provide any specific revenue or earnings guidance during our call this morning. In yesterday's press release, for our fourth quarter ended September 30, 2018, we reported revenue of $20.6 million compared to last year's revenue of $23.7 million. Our net loss for the quarter was $200,000 or $0.02 per diluted share compared to last year's net loss of $19.2 million or $1.46 per diluted share. For the year ended September 30, 2018, we reported revenue of $75.7 million compared to revenue of $73.7 million last year. Our net loss for the year was $19.2 million or a loss of $1.45 per diluted share compared to last year's net loss of $56.8 million or a loss of $4.32 per diluted share. As Rick just mentioned, we recently revised our financial reporting segments to provide better clarity to our investors. Our new oil and gas market segment is simply a name change of our former seismic segment. And our new adjacent market segment renames our former nonseismic segment. In addition, we've added a new emerging market segment, which captures the financial information related to Quantum's seismic business in the border and security markets. A breakdown of our product revenue in our oil and gas markets is as follows. Our traditional product revenue for the fourth quarter was $3.3 million, a decrease of 33% compared to revenue of $4.9 million last year. Revenue for the year was $12.9 million, a decrease of 13% compared to revenue of $14.8 million last year. These decreases primarily reflect a large sale of geophone products from our rental fleet in last year's fourth quarter. Our GSX and OBX wireless product revenue for the quarter was $9.7 million, a decrease of 13% compared to revenue of $11.1 million last year. Revenue for the year was $27.3 million, a decrease of 8% compared to $29.7 million last year. These decreases were the result of significantly lower wireless product sales of fiscal year 2018 and were partially offset by increased rental revenue, primarily resulting from our OBX contracts. Our reservoir product revenue for the fourth quarter was $290,000, a decrease of 31% compared to revenue of $421,000 last year. This decline for the fourth quarter resulted from lower levels of our service-related revenue. Revenue for the full year was $4.8 million, an increase of 82% compared to revenue of $2.7 million last year. This revenue increase primarily reflects sales of borehole tools from our rental fleet as well as higher overall service-related revenues. Moving on to our adjacent markets product segment, our industrial product revenue for the fourth quarter was $4.3 million, an increase of 3% compared to revenue of $4.2 million last year. Revenue for the year was $18.4 million, an increase of 27% compared to $14.4 million last year. These increases were primarily attributable to higher demand for our water meter products as well as higher revenue contributions from our contract manufacturing services. In the gene product revenue for the fourth quarter was $2.6 million, a decrease of 11% compared to $2.9 million last year. Revenue for the full year remained flat at $11.6 million. We believe the quarterly change of revenue relates mostly to the timing of customer orders and does not reflect any particular trend in our customers' demand for these products. Our gross profit for the fourth quarter and full year was $5.3 million and $11 million, respectively. This compares to a gross loss of $9.7 million in last year's fourth quarter and a gross loss of $20.7 million for all of fiscal year 2017. The improvement in our gross profits resulted from increased utilization of our OBX rental fleet along with continued sales of excess rental equipment, also from significant declines in obsolescence expenses as our net inventory balances begin to return to more normal levels. And finally, from reduced fixed-manufacturing costs associated with our workforce reductions earlier in the fiscal year. As Rick just mentioned, one of our customers filed for bankruptcy protection back in our third quarter. And as he said, due to the uncertainty surrounding this matter, it was unclear to us at the time how much recovery we might get, if any, during the course of the proceedings, which are still in progress today. As a result, we posted a bad debt charge of $2.6 million related to this bankruptcy in our third quarter. Over the course of these proceedings, we have collected a substantial amount of this debt and therefore we reversed out $2.3 million of this bad debt charge in our fourth quarter. So when analyzing our operating expenses and excluding the impact of the recovered bad debt charges in our fourth quarter related to the bankruptcy matter, our fourth quarter and year-to-date operating expenses declined 2% and 6%, respectively, from last year. These declines in our operating expenses reflect our workforce reductions, lower stock-based compensation expenses and a decline in our research and development project costs. These declines were partially offset by increased other bad debt expenses, those unrelated to the bankruptcy, and operating expenses resulting from the Quantum acquisition. Cash investments in our property, plant and equipment and rental equipment were $1.7 million and $6.5 million, respectively, for fiscal year 2018. As a result of the significant contracted demand for our marine OBX rental equipment, we expect fiscal year 2019 cash investments into our rental fleet to be $30 million or more. We estimate total fiscal year 2018 cash -- I'm sorry, 2019 cash investments in our property, plant and equipment to be approximately $3 million. As a result of these cash investments, we expect our consolidated cash balances to decline significantly in fiscal year 2019. Our balance sheet at the end of fiscal year 2018 reflected $37.4 million of cash and short-term investments. We had no long-term debt outstanding, and borrowings available under our credit agreement were almost $22 million. We're pleased to say that our credit agreement was recently amended to expire in April 2020. In addition, all of our various real estate holdings in Houston and around the world are owned free and clear without any leverage. That concludes my prepared remarks, and I'll turn the call back over to Rick.
Walter Wheeler: Thanks, Tom. To build on some of Tom's comments, throughout several years of a depressed seismic market, our balance sheet was and still remains debt free. And as of September 30, 2018, our cash, cash equivalents and short-term investments totaled $37.4 million. In addition, with an untapped line of credit, as Tom mentioned, that includes $21.5 million of borrowing availability, we started the new fiscal year with total liquidity of $58.9 million. This footing provides the financial strength to take advantage of opportunities we see developing for our ocean bottom nodes and rejuvenated interest in potential PRM projects. Together, with our expansion of technologies through the acquisitions of Quantum and OptoSeis, we believe we are well poised for future growth and revenue in all of our business segments. Seismic exploration continued to represent a small portion of many E&P budgets in fiscal year 2018. But we believe fiscal year 2019 holds greater promise. Several of our customers are beginning to see increased demand for exploration services, both in the U.S. and abroad. In addition, interest in demand for ocean bottom nodes surveys are the highest they have ever been. These surveys minimize both exploration and development risks associated with offshore oil and gas reserves through the improved imaging they provide. Our state-of-the-art OBX products place us in an optimum position to provide the technology needed by this growing aspect of the industry. To this end, we will continue to focus our financial and engineering resources on this important industry sector during fiscal year 2019. Now this concludes our prepared remarks, and I'll now turn the call back over to David for questions.
Operator: [Operator Instructions]. And we'll take our first question from Bill Dezellem with Tieton Capital.
William Dezellem: I have two questions. First of all, had you owned the OptoSeis assets when Statoil was going through their tender, do you believe that you would have won that business? Or would have made a difference in that conversation to have a -- to have this fiber optic capability? And then secondarily, what's the prognosis for the remaining $300,000 or $400,000 with that bankrupt customer to be recovered?
Walter Wheeler: Okay. I'll answer the first question, and I'll let Tom answer the second one. Certainly, it would have made a difference with the Stateoil tender that was out simply because Statoil limited their solicitation in the tender to only those systems that were fiber optic in nature. Given that we didn't have a system at that point in time using that technology, we just had to withdraw ourselves from the ability to even respond. So with that in mind, whether we would have won the tender or not with a product that would have met those criteria, I can't say. But I know that, in general, our expertise is by far the most predominantly deployed within the PRM space. And so our expertise is well consider in that arena. So I think we would have had a very good chance, but because we didn't have that sort of technology, we really couldn't respond. So I'll let Tom answer the other one on the bankruptcy.
Thomas McEntire: Yes, Bill, this is pretty simple answer to your question. We turned this matter over to our bankruptcy counsel, external to the company. And they're managing this and their advice right now is that, except for the $2.3 million reversal, they don't really expect us to get any more.
William Dezellem: Great. Just want to come back to OptoSeis, if I may. Given that they did not win that tender, what do you believe you may have been able to do different if OptoSeis under the Geospace umbrella a better opportunity to win that business than the success they did have?
Walter Wheeler: I think there were are a lot of things that went into the award, as that tender was finally manifested. And it had nothing to do with the technology's viability. I think, in many cases, there were commercial aspects available in the selection that they made that were either more timely with respect to delivery of product or other sort of unrelated to technology aspects, commercially, that were a factor in there. So one of the things that we bring to the table, both with OptoSeis, Quantum and all the other products that we make is that we're pretty good at manufacturing these sorts of things and bringing in the time lines. As you might recall, the Statoil contract was anticipated to be about a 3-year project. But we brought that in less than half of that amount of time. So we're -- we have a demonstrated track record of being able to bring in those sorts of things in a shorter time frame.
Operator: We'll take our next question from Chris Sakai with Singular Research.
Joichi Sakai: I just wanted to ask about OptoSeis. The acquisition, how much extra will that acquisition add to total operating expenses?
Walter Wheeler: Well, it's definitely going to add some. I mean -- but it's not really -- there's not a lot of people associated with that acquisition. I think it's about 13 or so. There is a facility in Austin that they're currently involved in that will also go in our books as an expense. But we feel fully accommodating to absorb those additional expenses within our normal progression. So they're not going to be some huge addition as it were.
Joichi Sakai: Okay, great. Also for 2019, can you comment on the number and the amount of contracts that you guys have already in place?
Walter Wheeler: Well, for the OBX, we have the two contracts, the long-term contracts that we mentioned in August. We don't have any other. We have an existing performing contract in addition to that one that's currently operating for OBX products. But the others are under negotiation and still working with customers with respect to them securing those jobs.
Thomas McEntire: Chris, this is Tom. We can really only speak to the contracts we have publicly announced and those are significant contracts. We have many other minor contracts that we enter into routinely that are just in the ordinary course of business, which do not get announced and we're not really privy to talk about those. But the significant ones have been announced.
Joichi Sakai: Okay, great. I mean -- so do think the OptoSeis acquisition will further help you gain more contracts?
Walter Wheeler: Well, absolutely. We probably wouldn't have been interested in buying them had they not provided an additional set of arrows in the quiver. The PRM market has been one that, if you look back, has gone through a very long dry spell for the most part, with only 1 being awarded in the last several years. It's our understanding and the discussions tend to lead us to this understanding that the interest in that is rekindling. It's a very useful technology to apply for offshore marine reserves in terms of managing them and optimizing their production. So we certainly believe this adds to our ability as that market improves to be able to have a broader offering to those in the market.
Operator: And our next question comes from Roger Hare with Firewall Management [ph].
Unidentified Analyst: I have another question on OptoSeis. Just -- I was wondering if -- maybe it's a little premature, if you could comment on how you see the integration going. I know you have very good cabling capabilities and do you need to get additional engineers? Are they coming over? Is this -- or is this something you may have to outsource if you do get a contract?
Walter Wheeler: Excellent questions. And one of the issues there is that, as you say, we are already manufacturers of lot of types of components that go into that system, be they fiber optics or otherwise about particularly as it relates to cabling. The other thing is that there are similarities in the construction of the geophone sensors that we make that are very analogous to what has to go on with the fiber optic point centers. And so we expect quite a bit of overlap with respect to the skill sets that we have in our manufacturing ranks to make these. So we're -- we definitely believe that we're going to be able to accomplish that within our own -- under our own route, as it were, and not to have to really sub-contract that out. But we do have some additional work to accomplish for that to take place. But it's certainly on our list of top items.
Unidentified Analyst: Okay. All right. And would you -- do you have any -- I imagine, do you have any thoughts on how the border security might open up in terms of potential business at this time or as a security business?
Walter Wheeler: Roger, if you look at the opportunities, they're very large. I mean, there's a considerable amount of -- not just within the U.S., but they are considerable occasions of security need, mostly governmental and country oriented, with respect to their borders. And certainly, the level of products that have been provided to that industry have been, for the most part, rather unsophisticated. And applying the technologies that we've done in the oil and gas industry and seismic and then applying on top of that the analytics the Quantum has developed, we really believe it, it just puts together possibilities that really open up that market in ways that hasn't been before. So we think the opportunities are great. Signed contracts have not occurred, but discussions are underway with some that would be very big revenue generators.
Operator: [Operator Instructions]. Our next question comes from David Nierenberg with Nierenberg.
David Nierenberg: You guys have been, for years, such conservative and capable stewards of balance sheet preservation that you have not only live to see another day, but you're making strategic acquisitions, prudently by the way. And I have noticed in the last several quarters that there have been some additions to -- made to rental inventory. But Tom's comment this morning about the size of the inventory add that you're contemplating, maybe one of the most significant things you've said today. And given how conservative you have been, I can only imagine that if you're thinking of an inventory build of that magnitude, you must be feeling pretty darn good about the recovery prospects for the markets that you serve. So this question is intended to draw out even more color from you about what is leading you to forecast that you will be making rental inventory additions of that magnitude?
Walter Wheeler: Sure. Well, I can summarize a little bit of this to the extent that, if we go back and we look over the last actually couple of years, the clientele list, the customer list of those that use our OBX equipment has steadily grown. It started out with 3 or 4, I mean, now the list is long, with respect to those that have used this equipment, have demonstrated that it works. Moreover, the industry, the oil and gas companies have seen the good results that these surveys have produced. And to that extent, as you and I sit here talking today, there is more demand for this equipment than the amount of equipment that exists. And they're having to be turned down in some sense. The 2 contracts that we recently announced in August are certainly a demonstration of the veracity of what that market is looking like. And the fact that we can satisfy some of the demand that we're being asked to try to serve in our current circumstances, what leads us to make those investments.
David Nierenberg: Rick, that's what I call a high-quality problem. And that's a lot better than low-quality problems.
Walter Wheeler: It certainly is.
Operator: And our next question comes from a follow up from Bill Dezellem with Tieton Capital.
William Dezellem: Relative to OBX and GSX, how many rental days and how many units were those days on for this quarter? And how does that compare to the June quarter and the September '17 quarter?
Thomas McEntire: We don't publish that information, Bill, specifically. But if you look at the rental revenues in the financial statements, predominantly, most of that rental revenue is from OBX. And so you'll see a substantial increase in fourth quarter this year versus fourth quarter last year as well as for the full year. So I -- I'm going to guess that the rental days in our fourth quarter were exceeding those in the third quarter because we were fully rented and we were probably just getting some of the stuff out in the third quarter. But you should continue to see increasing revenues quarter-over-quarter from OBX as we fulfill the deliveries of these contracts.
William Dezellem: And are you seeing any rejuvenated interest in GSX rentals?
Thomas McEntire: It's pretty steady right now. Pretty flat, I guess, is probably the best word.
Operator: And there are no further questions on the line at this time. I'll return the program to Mr. Rick Wheeler and Mr. Tom McEntire.
Walter Wheeler: All right. Well, thank you, David. And I certainly thank everyone that joined our call today and asked these questions. That concludes this call. And we look forward to speaking to you on our conference call for the first quarter of fiscal year 2019 sometime in February. Thanks, and goodbye.
Operator: Thank you. This does conclude today's conference call. Please disconnect your lines at this time, and have a wonderful day.